Operator: Dear ladies and gentlemen, welcome to the webcast of E.ON SE. At our customers’ request, this conference will be recorded. After the presentation, you have the opportunity to ask questions via the telephone lines. [Operator Instructions] May I now hand you over to Verena Nicolaus-Kronenberg, Head of Investor Relations, who will lead you through this conference? Please go ahead.
Verena Nicolaus-Kronenberg: Many thanks and yes, hi, everybody. Welcome to our Q1 Results Presentation. Thank you for joining via telephone or webcast. Today, I am here with Marc. He will update you on operational and financial performance in the first three months of 2021 and our outlook for the remainder of the year. As usual, we will only highlight the main messages to leave enough room for questions. With that over to you, Marc.
Marc Spieker: Thank you, Verena. And good morning and a warm welcome from my side. Dear, analysts and investors, we have seen a fantastic start into the year. During the first quarter of 2021, we achieved a strong operational and financial performance throughout actually all our business. EBIT and adjusted net income are up 14% and 19% respectively. Our synergies ramp-up is unfolding as planned despite ongoing COVID-19 restrictions. COVID-19 did also not have any direct impact on our other operations, which is in line with our expectations. This gives us a lot of confidence for the remainder of the year. On the deleveraging plan, we're making excellent progress. We're fully on track towards achieving our target of a debt sector between 4.8 and 5.2x already by the end of this year. Our pension provisions have improved by EUR 1.7 billion due to the seasonal pattern of operating cash flow, this massive improvement will only translate into our economic net debt numbers during the course of the next two quarters. You should actually be familiar with that by now that Q1 brings a seasonal build-up in working capital, which then fully reverts in the second half of the year. In essence, I can fully confirm our guidance for 2021 as well as our mid-term delivery plan, including our synergy target of EUR 780 million by 2024 and our dividend commitment. Before I update you on the operational highlights of the quarter, let me spend a few words on the new E.ON management board remuneration system that we put up for resolution on approval at the upcoming AGM next week. One of our priorities at E.ON is sustainability. Sustainability is the integral part of our corporate strategy and guiding principles for all our decisions. As a consequence, it is obvious that the sustainability performance of E.ON should be part of the long-term incentive of E.ON's board remuneration. With a proposed remuneration system, the following sustainability dimensions are planning for the 2022 long-term incentive trench. First of all, climate action, we measure our progress of carbon emission reduction; secondly, diversity, we will further increase the share of our female executives; thirdly, health and safety of our employees and therefore the reduction of serious incidents and fatalities frequencies; the fourth dimension is our performance in key ESG ratings and therefore an overarching element when it comes to sustainability. In this context, I would also like to point out that as a financial performance element, we will include a return on capital employed component next to this established total shareholder return into the long-term incentive for our management board. I'm confident that investors will appreciate the new elements of the remuneration system and largely results on the approval of the plan fell at our AGM next week. Let me now turn to some operational highlights in Q1, which further back our confidence on guidance delivery. In Energy Networks, we are committed to grow our power up by 4% to 5% per year for many years to come. With record end market in Germany for connections in newbuild residential areas as well as for renewable connections, we are very confident to deliver on this pledge. We are also very happy with the progress in Customer Solutions due to several positive developments. First, the npower customer migration in U.K. has been completed. We have started to close down npower systems with a majority of people leaving by end of Q2 and the full npower wind down expected by the end of 2021. In parallel, the migration of E.ON UK customers is already significantly progressing with currently already around 500,000 E.ON customers migrated to E.ON Next. We expect that number to significantly increase over the coming weeks. We plan to have migrated the majority of E.ON customers by the end of this year already. We are also fully on track to renew our IT stack in our German retail operations with more than 4.5 million customers having been migrated so far. Second, we see a significantly growing demand for our Future Energy Home services. In Q1 alone, we have sold about 30,000 additional units from PV, batteries to efficient heating systems. We already have more than 1.2 million active service contracts, which makes us confident that we will be able to double the earnings contribution of that business in the course of this year to more than EUR 15 million. Some may say this is long. I say the momentum is great and we're just at the beginning of this market to evolve. Thirdly and finally, in our Energy Infrastructure Solutions business, we were able to fully monetize from the colder weather with excellent availabilities of our heating plant, especially in the Nordics. A good example is Hogbytorp in the Stockholm area with 97% availability in Q1 2021. Operational excellence matters, and we are just good at it. Now let me move to the financial performance of E.ON in the first three months of 2021 on Page 4. EBIT came in at roughly EUR 1.7 billion, which is an increase of 14% or EUR 200 million compared to the same period last year. I have already elaborated on our strong operational performance. On top of that, we also benefited from a weather-related recovery in margins. You may recall that last year, our financials in Q1 were significantly impacted by extraordinarily mild winter month. In contrast, weather conditions this year were pretty much in line with expectations. Also, the impact from COVID-19 has as expected, including bad debt provisions. On the segments, earnings in Energy Networks are roughly stable compared to last year. In Germany, the year-on-year earnings increase from normalized volumes was largely compensated by expected developments on the cost side. The Central Eastern European and Turkey segment benefited from the first-time consolidation of VSE in Slovakia after the acquisition from RWE in Q1 last year. Customer Solutions' earnings momentum was strong with an increase of almost EUR 300 million year-on-year, doubling the EBIT relative to Q1 last year. Apart from normalized weather conditions, the UK benefited from our restructuring efforts and the full migration of npower customers on to the new platform. With an EBIT of EUR 86 million in the first quarter, we feel very comfortable with our target of above £100 million for the full year. Be reminded, that especially in the UK, the seasonality is usually very pronounced towards the beginning of the year. Q1 earnings of our non-core businesses are down by roughly EUR 18 million year-over-year. The decline is mainly attributable to the negative impact from the purchase of further production rights for our German nuclear operations. Be reminded, we continue to depreciate the production rights that we eventually obtained for free based on successful settlement of nuclear lawsuits until the very date of law becoming effective. The legislative procedure is fully on track with the first parliamentary reading already concluded. As indicated, we will most likely adjust our guidance in Q3 already. The result of our Turkish upstream joint venture was negatively affected by lower hydro generation and an adverse FX development. Let us have a brief look what the earnings development means for our bottom line. Our adjusted net income came in at more than EUR 800 million for the first three months of 2021, up 19% versus last year, reflecting largely the increase in our operating results. Economic interest results, income tax rate and minorities are fully in line with expectations.  Let me now turn to the development of our economic net debt. Compared to full year 2020, economic net debt is largely unchanged. While this looks boring from a headline numbers perspective, there is a lot of positive momentum below the headline. Headline provisions improved by roughly EUR 1.7 billion over year-end 2020. The decrease of the defined benefit obligation due to an increase in pension discount rates of 40 basis points in Germany was accompanied by a better-than-expected plan asset performance. This is temporarily compensated by our operating cash flow, which reflects the usual seasonally low cash conversion in the first quarter. In our B2C commodity sales business, high energy consumption during the winter period causes a negative cash balance for us in Q1 as the cash inflow from installment payments is equally spread across the year. In our Networks business, likewise, the redistribution of feed-in tariffs for renewable generators in Germany results in a further temporary increase of our working capital. As usual, we expect these seasonal effects to fully reverse during the remainder of the year. Backed by our Q1 performance and assuming interest levels to stay at current levels, we are on good track to achieve our debt sector target of between 4.8x and 5.2x already this year once the settlement of the nuclear lawsuit is put successfully into law.  Let me conclude my presentation with our outlook on Page 7. Backed by a strong start into the year, I'm happy to confirm all our targets for 2021 and our mid-term delivery plan until 2023, including synergy delivery and our dividend promise.  Furthermore, let me also reiterate that we feel very confident with our EBITDA target of EUR 7.6 billion to EUR 7.8 billion and our EBIT target of EUR 4.6 billion to EUR 4.8 billion for 2022.  Thank you very much for your attention. And over now to Verena for the Q&A Session.
A - Verena Nicolaus-Kronenberg: Many thanks, Marc. We will directly start with the Q&A Session. Please be reminded of the two questions per questionnaire rule in order to we are able to for everybody to ask questions. First one on the line is Alberto from Goldman. Alberto over to you. 
Alberto Gandolfi: Verena thank you. And good morning. I’ll speak to the rule of two questions. I just wanted to ask you the following. I mean, I appreciate you just gave a guidance like six weeks ago or so. But if I take your first quarter and I add back Q2, Q3, Q4 from last year, when COVID trading losses or lower synergies, you broadly get to the mid-range of the guidance. So, I guess the question is what does it take for you to guide in the upper end or revise upwards the guidance altogether? Or is there anything that concerns you during the rest of the year we should think about? That's the first question. The second one is on Customer Solutions, again very strong underlying. And I was wondering if you can maybe share with us more of the savings in terms of OpEx from migrating the UK customers to the new platform? And the UK seems – I wouldn't say the tip of the iceberg, it's a big business for you. But how about replicating that to Germany? I guess that's not in synergies target. How much savings could you achieve by doing the same as in the UK in the larger region? Thank you so much. 
Marc Spieker: Hi, Alberto. Thanks for the questions. Let me start with the second one. Just to remind everyone that once we will have migrated all customers on to the E.ON Next platform, we will not only then have shut down the entire npower B2C operations, but we will also bring then the legacy E.ON B2C operations intra field [ph] optimization modes. And this will go hand-in-hand with further cost savings on the E.ON legacy platform as well. All that together will mean that we will lower our cost base in the UK B2C scheme by more than 50% on a cost-to-serve basis. With that improvement, UK operations are then getting on eye level with the cost structure which we already have today in Germany. And the answer, therefore, on your second question, Alberto is twofold. The magnitude of efficiencies, which we are seeing in the UK know they can’t be replicated in Germany. The good news is that we are, in Germany, already at the efficiency frontier also relative to key benchmarks and competitors. But be assured that we will further push the performance curve for the entire market going forward. And again, retail operations is not just about the level of OpEx, it's also about how you spend it, how effectively you are engaging with your customers and how satisfied they are. By the way, there's also an executive incentive for the entire management board how satisfied our customers are. On the first one, the guidance, you can take away from my comments that with the start into the year, we actually have a lot of confidence with regards to our full year guidance. Again, it’s still three quarters out. And generally, our portfolio is very resilient and robust as demonstrated last year. And I think it was as worse that as you can imagine. I think this year, the only major risk, which remains is actually weather, i.e., fourth quarter temperatures. Except for that, we are pretty confident with our guidance. But please also understand that we will not adjust now the guidance spontaneously in the call, just work on with the confidence which I am standing.
Verena Nicolaus-Kronenberg: Thank you.
Alberto Gandolfi: Thank you.
Verena Nicolaus-Kronenberg: You’re welcome.
Operator: Thanks, Alberto. Next one on the line is Sam from UBS. Sam, please go ahead.
Samuel James: Hi, good morning, everyone. Thank you for the presentation and congratulations on looks like a very good quarter. Marc, I think the question I wanted to ask was just coming back to the mid-term guidance because you’ve reconfirmed mid-term guidance today as well, which is very helpful. But I think when you set out at full year, you were already kind of indicating that from 2022 to 2023, the picture was quite flat. And I think now with a good outlook for 2021 and then also potentially the – I think I’m right in saying the nuclear compensation coming in possibly on top before the end of this year. And the way it looks to some people is actually maybe quite a flat growth outlook through the next few years. And I’m just wondering, is there anything that you can say about the longer-term picture today in terms of where you might be able to find more kind of EBITDA growth than we’ve currently talked about? Or should we think of it as basically quite a flat picture and very solid with a growing dividend against that?
Marc Spieker: Yes. Sam, that was a long runoff. So, on mid-term guidance, actually no change, full confirmation. And that means that our core business is actually growing every year, including 2023 as you – I would like to remind you that we will see the phase-out of nuclear from 2022 to 2023. So, when it comes to our core business, guiding set profitability from 2022 to 2023 means that the core of us is growing quite nicely. And that’s how we are managing the company also beyond 2023. But thinking I’m not in a position now to extend the guidance today to 2024 or beyond, for that, you will have to wait until our Capital Market Day in autumn this year.
Samuel James: Yes, okay. Thank you very much.
Verena Nicolaus-Kronenberg: You’re welcome.
Operator: Thanks, Sam. Next one on the line is for Peter from Bank of America.
Peter Bisztyga: Yes. Good morning, and thanks for taking my question. So, two questions from me. Firstly, just following up on the UK, can you maybe talk about what customer acquisition and churn trends you’ve seen so far this year, especially as gas and power prices have gone up quite sharply in the wholesale market, which is normally bad for new entrants? And linked to that question, do you have a view of what a sort of sustainable EBIT margin is in the UK based on your cost base? And then my second question is just on Sweden. I think the court there has asked the regulators to go back and recalculate the allowed return. Do you have any visibility on the timeline for decision? And have you included any upside in your 2023 guidance?
Marc Spieker: Yes, Peter. Thanks for the question. On Sweden, your second question, I don’t expect the court case on allowed return basically that bring out the clarity before next year. So, this come out in 2023 and if you maybe might go on mute, I hear a lot of echo. Maybe it’s coming from Peter or from someone else. And whoever that is, maybe you can – will be so kind to on mute.
Operator: I had already muted the line, sir. Please go.
Marc Spieker: Thank you very much. We haven’t now included any upside into our guidance. Our guidance is based on the currently approved regulatory return. Any upside will come on top of our guidance. On the question with regard to UK, we do not see at this stage a significant improvement in the market environment. And this means that we do see churn rates and customer trends in the same level as last year. This means that our E.ON-branded products are showing stable customer accounts. And we saw during the first – final quarter of migrating npower some minor losses still at the npower brand. So totally, dormant accounts in UK will have gone slightly down in the first quarter. But again, that was only due to the remaining npower accounts. So, message here is we’re not seeing a significant improvement. And again, we are restructuring the business with a target to deliver decent profitability even in today’s market environment. What a normal market environment and EBIT margins for the UK should be like, that is almost sort of what a good question. If you ask me what you should expect for a commodity retailer, it’s something between 2% and 4% EBIT margin. If you’re an excellent operator like us, probably at the high end and you will also have some competitors at the lower end and if you’re then able to gradually transform your business into a more service and solution-based products and then I would see that EBIT margin to go up rather the 5% to 10%. I think that is with regard to EBIT margins. But when that is to happen in the UK, I think it’s a bit philosophical. And again, be reminded that we don’t want to be active in philosophy. We will turn around the business without any improvement in the market environment.
Peter Bisztyga: Thanks, Marc. And sorry, can you just clarify? I missed the beginning of your answer to my question on Sweden. So, you said a court case wouldn’t bring about clarity before 2022. And is there a particular time during 2022, did you say?
Marc Spieker: Yes. Look, the first milestone to wait for is actually end of August as currently the regulator has decided to appeal the first positive verdict by the courts in Sweden. And the regulator also asked for more time to prepare the appeal, hence why we have this extended appeal line now until the end of August. We do expect that the regulator will bring up then a more refined appeal argument. And if the court doesn't turn that down, in that case, obviously, the court case would be done by end of August. And if the appeal is being admitted, then the final court decision will only come during 2022.
Peter Bisztyga: Got it, thank you.
Marc Spieker: And again, not reflected in our financial guidance as upside, our guidance is based on the currently allowed returns.
Peter Bisztyga: Thanks, Marc.
Verena Nicolaus-Kronenberg: Thank you, Peter. Next one is the line is for Lueder from SocGen. Lueder, please go ahead.
Lueder Schumacher: Good morning, Marc. Good morning, Verena. Thank you very much for the very efficient presentation. 12 minutes, I’m not speak close to record, I think. My two questions are also with Customer Solutions division. I mean, clearly, a very impressive quarter, but can you maybe quantify the volume impact a bit more? You mentioned normalized weather as one of the four beneficial factors. And that applied across the regions. But if we look at the power sales volume you gave, they're down 2.6%. Gas is up 3.2%. And it doesn't really look like a massive volume impact, but maybe this looks completely different if you include the wholesale market. If you could just shed a bit more light on the volume impact, which clearly, given the temperature difference, should be quite big. And maybe also generally, on the four factors you mentioned on Slide 15, that benefit that drove the performance of Customer Solutions, EUR 92 million, can you maybe give us a rough idea how this splits between those four factors?
Marc Spieker: Hello, Lueder. Yes, I should be able to give you some more insight, and if not, invited to ask back. So, let's start with the volume effect. But first of all, be aware of when you look at our total volume numbers in terawatt hours, there is obviously always portfolio optimization ongoing, i.e., on what segments we are actually focusing. And you should expect that we are focusing on high-margin segments. So, when volumes go down, it's not automatically indicated – not the main indicator for low profitability. So that, first of all, addresses the point where you felt that there is a disconnect between profitability and volumes. So, we are optimizing the margins in our sales portfolio. And then with the tariff, you should expect a natural disconnect also during further quarters. With regard to the volume development, it is – on the profitability side, it has pretty much been a consequence of normalizing weather conditions as temperatures have moved back to normal expectations. Overall, on the Customer Solutions side, normalized weather is – stands for a high double-digit, almost a three double-digit million-euro amount. And the key markets that have been affected almost [indiscernible] by that is Germany and the UK. Then when it comes to the profit drivers on Page 15, the restructuring benefits in the UK, given that we have seen an almost EUR 100 million improvement in the UK year-on-year, you can imagine that another mid-double-digit million-euro effect that stems from the restructuring benefits. The synergy ramp-up in Germany has a similar magnitude. And the other businesses is basically growth, not so much on the commodity retail side, but very much in the solutions business across the various markets, which now starts to show some momentum in our group numbers. I mentioned that the level is still low, but the momentum is extremely positive. I hope that addresses your questions.
Lueder Schumacher: Yes, very clear. Thank you.
Marc Spieker: You’re welcome.
Verena Nicolaus-Kronenberg: Thanks, Lueder. Next one is Deepa from Bernstein. Deepa, please go ahead.
Deepa Venkateswaran: Thank you. My two questions. One is Germany is now proposing to increase its decarbonization to 65% by 2030 and some say that renewables need to now be 77%. So, I'm just wondering, obviously, there's been talk of increasing auction volumes and so on. But it seems – still seems that volumes of onshore wind are far lower. So, I was just wondering, obviously, in connection with your ongoing discussions with the regulator and the investments needed, what do you think is really needed for Germany to kind of hit these targets? And how feasible do you think these targets would be? And my second question is regarding the recent Board change that you announced yesterday with the Head of the Customer Solutions division stepping down. I just wanted to again check with you that, do you see any risk on the momentum in the Customer Solutions business with the departure of Karsten Wildberger? Thank you.
Marc Spieker: Hello, Deepa. Let me start with the question on decarbonization. I fear a little bit preaching to the converted, so I will keep it short and crisp. So, our two key messages when it comes to German policies is do it market-based. And so auctioning is the right momentum but make permitting much easier. And that is the bottleneck. So, with conflicting permitting regulation, which even if you have market-based auctions and a lot of investor interest actually to participate, you face that permitting problem, which is a political topic which needs to be resolved. For us, this is not a concern at all. As is pointed out in the past, our growth is built on a number of growth drivers and renewals build-out is only one of them. And if I look just at the increasing customer demand from increasing digitization, data centers, if I look at the momentum which we are seeing in mobility, our outlook on our growth opportunities is unchanged and does not get affected by the situation around rest of the loss, which we are seeing.  With regard to Karsten, Karsten has decided to seek new professional opportunity and challenge in – with Ceconomy, a German-based electronics retailer, which is something – obviously something which we regret in the sense that he's leaving on value side. And with these personal decisions, we wish him all the best for this next step. But what you should not do is take any read-across now to what that means for E.ON. Our growth, our business is built on many strong shoulders. As you could see, just our U.K. management team turning around the business and you can imagine that the confident management teams are around in all of our markets.  So don't read into that any threat from this. Our Supervisory Board will consider how to replace Karsten. And we are very confident to keep up the good momentum from the first quarter, also during the rest of the year and the future.
Deepa Venkateswaran: Thank you.
Verena Nicolaus-Kronenberg: Thank you, Deepa. Next one on the line is for James from Deutsche. James, please go ahead. 
James Brand: Hi, good morning. And well done on the good results for me. Two questions for me, both on retail. So, the first is that, in the answer to one of the earlier questions, Marc mentioned that the German retail business was at the efficient frontier. I was just curious what you meant by that? Whether you – whether when you say that, you mean it has the efficient frontier of the kind of bigger retailers or whether you think it's also at the efficient frontier if you include some of the very efficient digital new entrants. That's the first question. And then the second question also on retail is I was wondering whether you could share some thoughts on what you think the key for the retail business is going to be over the medium term. Obviously, in the short term, it's delivering on the synergies. But over the medium term, is it just getting all the customers on to a digital platform? Is it being super-efficient? Is it offering other value-added services? I'd be very interested in – if you have some thoughts you could share on that. Thank you very much.
Marc Spieker: Yes, thank you James for your question. And welcome to the call. On the German retail business and – well, let's talk about kind of pushing the efficiency frontier. I think ultimately, that is a mindset with – when you look at efficiency. And efficiency in the retail here is not just about cost, it is also about while being cost leader, being able to offer the most flexible and best service and experience to our customers. And that boils down into our initiatives in Germany to also then move the entire business on to a new IT sales stack with which we are well on track. I mentioned the 0.5 million accounts which we have migrated already.  By the end of this year, we will surpass the 8 million and then by next year, get the large part of the rest of the portfolio on to the platform. And that platform will then also be white label-capable, i.e., we will be able then on that machine and to also run operations for our other market participants. And you are only able to offer your IT stack and service platform to others if it is really in the top quartile in the market. And that is the strategic logic behind that. I think that also is a segue to answering the second question.  We're extremely positive about our customers. And even if you look beyond just realizing synergies, I mentioned this time in my speech that what we call Future Energy Home business, which is, above all, the business around residential photovoltaic, battery business and energy efficiency, we are bringing that business this year to an EBIT level of EUR 50 million. And this is obviously something where we strongly leverage our existing brand and market position and then try to gradually improve the business and earnings mix in that business. And that's why we are so positive about it.
James Brand: Thank you very much.
Verena Nicolaus-Kronenberg: Thank you, James. Next one is for Rob from Morgan Stanley. Rob, please go ahead. 
Robert John Pulleyn: Hey, thank you. So, two quick questions from me, please. Firstly, given the 1Q results showing the spotlight somewhat on the Swedish heating business and given recent multiples for such businesses looked very interesting, to what extent does management see any benefit in monetizing some of these unappreciated assets to reinvest more in E.ON's heartland networks?  And secondly, just a bit of housekeeping, given the, I think, the surprising move in the pension provisions, given the plan assets, could you perhaps give a bit of an update as to where those provisions would be today, given we've seen another 12 basis points of yield strengthening since the end of 1Q and maybe your plan assets have continued to perform very well? Thank you.
Marc Spieker: Let me start with the pension provisions. The asset sensitivity for 50 basis points movement of EUR 1.5 billion. So, with the 20-bps move, it would be along EUR 100 million [indiscernible] that is about the sensitivity, which you should expect and which actually also worked during the first quarter, where they seen a 40-basis points improvement in Germany. And that has translated its way into a high uptick. Then it's a bit more than the sensitivity we have shown – we are showing as normally, we would assume a slightly compensated movement on plan assets, but Q1 has been, with the performance of plan asset, also been extremely good. So, the 40 basis points during the first quarter has actually translated into a EUR 1.7 billion more than the sensitivity, which I've seen you indicate. But I regard the sensitivity as a more – as a better yardstick for future movement. On Swedish heating, that's a very simple question. And the question is always are you the best operator and best owner of the business? And for us, the heat business is a growth business. So, our focus is on making sure that around existing heating networks which we have and the existing municipalities and city networks which we have to gradually increase our footprint there. You also reminded that we've earmarked about EUR 0.5 billion of CapEx every year into growing our City Energy Solutions business. And that is very much highly efficient heating solutions. And so, we are focusing on growing that piece. And therefore, we are also a happy owner of those positions and are not reflecting about selling that. We want to grow it much more.
Verena Nicolaus-Kronenberg: Fair enough. That’s very clear. Thank you very much.
Operator: Thank you, Rob. Next one on the line is Piotr from Citi. Piotr, please go ahead.
Piotr Dzieciolowski: Hi, good morning. Thank you for the presentation. I have two questions. So first one, I'd like to ask you about the gross margin for the Customer Solutions business because we only see one figure. Can you say broadly how much is the margin generated on just selling gas and power? And how much is from the other businesses like services, boilers, fixtures and maybe selling financial products? How much is this now? And how much is this going to be in the future? Do you see a significant change there? And your new platform, how well suited this platform is to cope? I understand this is a much more simpler platform, that's why you can reduce the cost. But how well suited this is to cope with this potentially more complex products going forward, when we have to compete more broadly with different services, I guess?
Marc Spieker: Yes, Piotr, with the second question, you are spot-on. But I'm happy to repeat that actually because repetition just underscores how important it is generally and how much it is in our focus. With renewing our IT architecture, it is not just about reducing our base. It is that simultaneously, you need to be able with a future IT architecture to be highly flexible, which means on the timeline to be able to flexibly fast respond to market changes but also to be flexible when it comes to customer offerings and broaden your offerings without inflating your cost base. And so again, that's a call for don't reduce our IT renewal to just saving OpEx. It is as important to improve the effectiveness of our platforms. On gross margin, we are not releasing market-by-market gross margin levels. As a high-level indication, so that you can broadly classify the returns of those businesses. In terms of EBIT margin, for a residential commodity retail market, I would typically, over time, expect profitability of the market segment to be between 2% and 4%. And obviously, we want to be top quartile and so we are striving for the upper end. When it comes to more service-based offerings, EBIT margins clearly lie above 5% and are backed up by longer-term or medium-term to longer-term contracts. And then finally, on the asset-backed businesses, like district heating, Energy Infrastructure Solutions, their EBIT margins don't really matter that much to us. Our key performance metrics are their capital return numbers. So that falls a bit off the EBIT margin perspective as the asset intensity is high. So much to your questions, I hope that helps.
Verena Nicolaus-Kronenberg: Okay. Thanks very much.
Operator: Thanks, Piotr. Sam, I recognize that you had only one, however, very long question. So, do you want to take another one?
Samuel James: I was going to ask a quick follow-up. Sorry if my first question was long, but I had a very short answer, so probably, on average, I'm equaling out. Marc, I just wanted to come back on one point. Because you said in your introduction that you are bringing back ROCE into the management targets, which we talked about at full year as well. I apologize if I missed something. But did you say what the ROCE target would be that you're building in? Because that would be a helpful input for us as well?
Marc Spieker: Yes. So first of all, it is about seeking the approval for the system. And it is on the corporate governance framework before we then will talk about the specific ROCE targets. So first of all, this is about the system where a material component will be best going forward on return capital.
Samuel James: Okay. So that might be something we'd get at the CMD?
Marc Spieker: Yes. And be assured that we are well above our cost of capital.
Samuel James: Okay. Very good. Thank you.
Verena Nicolaus-Kronenberg: Alright. So, there is no further question on the line. Thank you very much for your interest. And obviously, the Investor Relations team is more than happy to answer any follow-up questions that you might have. This concludes our call. Thank you very much.
Marc Spieker: Yes. Also thank you very much from my side. Have a nice day. Stay healthy. Bye-bye.
Verena Nicolaus-Kronenberg: Bye.
Operator: Ladies and gentlemen, thank you for your attendance. This conference has been concluded. You may disconnect.